Operator: Good morning. My name is Julie, and I will be your conference operator today. At this time, I would like to welcome everyone to the First Quantum Minerals' Second Quarter of 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Clive Newall, President and Director of First Quantum Minerals, you may begin your conference.
Clive Newall: Thanks, Julie, and thanks everyone for joining us today. Joining me in London are Hannes Meyer, CFO; Juliet Wall, General Manager, Finance; Simon MacLean, Group Reporting Controller; and from Cobre Panama project, Zenon Wozniak, Director of Projects. As usual, before we proceed, I'll draw your attention to the fact that over the course of this conference call, we will be making several forward-looking statements and as such, I encourage you to read the cautionary note that accompanies our second quarter MD&A and the related results news release, as well as the risk factors particular to our company which are detailed in our most recent annual information form and available on our website and on SEDAR. A reminder that the presentation which accompanies this conference call is available on our website and can be accessed either on the Events section or on the Q2 2018 results conference call button under the News section of the homepage. So I'll get it started with some opening remarks before Hannes review of the financial results. AFter that we'll open the lines to your questions. It was a solid quarter and first six months in this important year for First Quantum. Operationally, our copper production once again exceeded last year's comparable essential a sense in the turned in yet another good quarter as the drier weather conditions in Zambia returned. Las Cruces had a better than plan quarter as the maintenance shutdown originally scheduled for the second quarter was deferred to later in the year. While talking about Las Cruces, some contracted workers went on strike for a four day period from last Friday until yesterday. During that time, while there was some disruption to services critical production of it activities did continue. I would also note that the 85% workers on strike that quoted by the media is an exaggeration. The issue is about payment of allowances. Las Cruces' management has reviewed the claims and is satisfied that the allowances are being paid. Turning to Kansanshi, compared to last year, the mines output was affected by lower throughput in all circuits and lower grade in the mix knock side circuits. Higher recoveries in all three circuits are other provided some offset. Among the various optimization projects - optimization projects, we'll be working on the second half of this year is one aimed at enhancing the recoveries in tarnish material. So we could see some improvement in this area when the project is complete. Copper recovery of a smelter was strong averaging 97%. Throughput and production however were affected by two short maintenance shutdowns that were brought forward from later in the year. While shutdowns were shot, their impact the spread over several days for the necessary cool down and heat up processes. We established a new quarterly record for copper sales aided by strong year-over-year volumes at Sentinel and Kansanshi and the catch up at Chiodi [ph] where first quarter shipments were deferred into the second quarter. We're maintaining our unit cost of production with an all in sustaining average of $1.76 a pound of copper net of byproduct credits. The slight uptick in the quarter reflects mostly the growing contribution from Sentinel, which is a higher cost operation and the timing of some maintenance expenditure. Looking out to a third quarter, note that we're expecting reduced power provision to Kansanshi and Sentinel for about a 31 day period to facilitate maintenance and upgrades of the Zambian electricity network. We're focused on minimizing its impact on operation and at this point, that's our overall production guidance unchanged. In addition, we have a seven day maintenance shutdown at Las Cruces, about a three day shutdown for crusher and mill maintenance at Guelb Moghrein, and an 11 day shutdown at Pyhäsalmi. Further to the assessment we received from the Zambia Revenue Authority in regard to duty paid on the import of capital items, consumables and spare parts are used at Sentinel, we made very good progress. Working together with an external international accounting firm and our shipping agent, we have substantially completed our review which covered some 290,000 pages of information covering 22,750 import items. As you can see with the details and extensive process, our funding have not altered our position which we have made clear since the very beginning. We continue to refute the agency's assessment, we remain engaged and committed to open and transparent dialogue. Turning into Cobre Panama, all parts of this mega projects are really coming together rapidly. I spent time at sight impressed with this progress since May when we hosted a number of guests. I encourage you to look at the page on our website under Project and Cobre Panama, where we show even more projects one in the presentation along with two short videos. If you are among those guests back in May, I'm sure you'll be just as impressed as I am. In fact, phase commissioning is now well and truly underway right on plan. Additionally, we achieved some important milestones during the quarter. The first of 250 megawatt generating sets of a power station was commissioned and synchronized to the Panamanian electricity grid, it's been ramping up and operating consistently between 75 and 125 megawatts as a number of tests and fine tunings are being completed. Their second equally size generating set is on schedule to follow into operation during the fourth quarter of this year. We call up the sequence was planned, so that we can apply learnings gained from the commissioner of the first set into the process for the second and identical one. Adjacent to the power station is our ports where we also achieved an important milestone. During the quarter, we successfully received and unloaded our first full Panamax sized vessel bearing coal for the power station. Today, a number of deliveries received and unloaded is now three. Just after close of the quarter, we started first commissioning activities of the process plant. A number of equipment drives and electrically energized and rotationally tested and are ready to be put into service. This is a significant commissioning stack which leads into progressive commissioning of process plant system such as air circuits, water circuits and ultimately all circuits. In other areas of the project, we're advancing while at peak construction levels which will continue for a number of months. Substantial progress has been made in the over land piping between the process plant, the tailings facility and ports and in a conveyed piping and electrical approach systems. In terms of project completion at the end of 2Q, the project overall was 76% complete, procurement essentially 100% committed, engineering also completed with some just some final wrap up items over the next month or two, construction of the power stations effectively done with commissioning of the second generating set being the main remaining work front. At the mining site, the mining pre-strip is 82%, tailings management facility embankments is 70%, our overall mine and process plant worth of 65%. And very importantly, our construction for first all systems is 77%. You may have noticed, the completion percentage for the tailings management facility embankments is lower compared to Q1 of this year. Following site visits to some of other operations, we decided to incorporate some of our operational learnings. So I'm making some scope additions in areas external to the start of all embankment, they are mainly additional roads and drainage, funnel way struck platforms and additional clearing of embankments. In addition, the works associated with expansion of 8 million to 85 million tons per annum capacity is planned to be implemented progressively and are expected to be complete by end of the third quarter 2019 with commissioning during the fourth quarter. So in summary, Cobre Panama has made some strong progress towards startup and what we expect will be a very receptive market. We do believe the fundamentals copper are strong global urbanization, the evolution of electric vehicles in the mainstream is happening at a rapid pace. These are all copper intensive activities. While global political concerns are impacting our current metal prices, we're selling our production to a market where demand remains strong. So in this context of short term uncertainty, we elected to continue our copper sales edge program. So with that I'll hand over to Hannes to take you through the review and the prudent steps we're taking to manage through this year.
Hannes Meyer: Thanks Clive, and good day to everyone. Turning to Slide 10 in the presentation say that's quarterly production. Copper production what 6% or 9,000 tons above Q2 2017. Sentinels improved all supply and process performance resulted in higher long throughput and recoveries. These improvements let to production of 56,000 tons, which was 12,000 tons higher than Q2 2017, and 6,000 tons above the previous quarter one of this year. Kansanshi smelter production treated 326,000 traumatic tons of concentrate and produced 80,000 copper anode and 291,000 tons of sulfuric acid in the quarter. Turning to Slide 11. Comparative EBITDA of $466 million was $199 million higher and gross profit of $271 million was $205 million above Q2 2017. Affecting higher realized copper prices as the underlying market rate increased and the price profile of the sale hedge program improved. Net debt of $5.9 billion was $290 million higher than the previous quarter due to the plant capital expenditure program. Telling away to Slide 12. Quarterly units cash cost, copper C1 cost for the second quarter of 2017 benefited from the impact of review of operation provisions at Kansanshi which reduced the C1 cost by $0.08 per pound. Excluding this impact, copper C1 cost was higher by $0.08 per pound for the second quarter. C1 was impacted by $0.04 per pound for an increased writing of Sentinel contribution as well as $0.04 per pound for the pricing of maintenance and an increase in fuel prices. All in sustaining cost of $1.26 per pound for the quarter increased $0.26 against the same period in the previous year. The increase in line all in sustaining costs reflects higher Zambian royalty sustaining CapEx as well as the change in the C1. Copper C1 and all in sustaining cost guidance for the year remains unchanged at a $1.20 to $1.40 per pound and $1.65 to $1085 per pound. Next Slide, Slide 13, strengthening the balance sheet. This outlines our debt maturity profile and our current liquidity profile. We continue to proactively manage our balance sheet to ensure we have stronger stability and appropriate covenants. We have no significant debt maturities until December 2020 and the senior notes maturing in 2021 and 2022 are callable at the company's auction. At Q2 2018, the company was in compliance with all its existing facility covenants and ended the quarter in a strong position with $1.5 billion of undrawn committed facilities and $682 million dollars of unrestricted cash. Turning to Slide 14, and the hedge program. With the short term uncertainty and level markets, we selected to continue with our company hedge program into the first half of this year. In the quarter because the recent fall in process, we enter into a further 50,000 metric tons of the zero cost collars for the periods July 2018 to June 2019. This cost flows at $3 per pounds and like its average ceilings of $3.48 per pounds. We also entered into a further 15,000 metric tons of forward contracts for the period July to December of this year at an average cost of $3.28 per pound. The chart shows the improving price profile of our hedge book with a relatively low volumes and a higher writing to zero cost collars then in the past providing protection was being able to been approached from any sign. Moving to next slide on capital expenditure. Cobre Panama project kept the guidance remained unchanged at $6.3 billion but $800 million of total CapEx to completion. Expenditure for the first six month of the year was $781 million or $547 million on a net basis. Guidance on other in group CapEx also remained unchanged. Thank you and I'll now hand you back over to Clive.
Clive Newall: Thank you, Hannes. So Julie, could you open the lines now to questions, please?
Operator: [Operator Instructions] Your first question comes from Ralph Profiti with Eight Capital. Ralph, your line is open.
Ralph Profiti: Good morning, Clive. You mentioned the effect as back in May, when we were there, talked about electrical instrumentation being on the critical path and with that there was sort of more personnel needed to get where the project needed to be. Just wondering if I could get a specific update on that?
Clive Newall: Zenon, could you deal with us.
Zenon Wozniak: Yeah, certainly. In terms of the personal we had ramped up our electrical to a peak, so peak out and electrical peak is engaged on the project. We've made very good progress. We've been hitting our targets on cable and very importantly we've now energized three main substation and moved into commissioning. And those three of the full three notes, so the substation for the first three notes has been energized and under commissioning and substations will often floatation and clean a flotation. So what we did identify is a critical path on the side, it has been great quite strongly and it's progressing well.
Ralph Profiti: Okay, thanks for that. I just want to confirm whether or not sort of we have some interesting milestones in the near term, we have talked about first ore production being January of 2019 and first concentrate shipments in around March 2019, wondering if those are still holding strong?
Zenon Wozniak: No change to those, at the moment we are needing much more quickly than we were in the first half of the year. So for example we start pulling conveyor belts in August which is only couple of weeks. And we had about five month program to pull all of that in variable. And we're feeling very confident about the first ore delivery, we are excited in the packs to facilitating and it's essentially complete. So there is no change and we are actually feeling quite confident with what we've said.
Ralph Profiti: Okay, that's it from me. Thanks Zenon, thanks Clive.
Operator: Your next question comes from Matthew Fields with Bank of America Merrill Lynch. Matthew, your line is open.
Matthew Fields: Hi Clive, Hannes and Zenon. I wanted to ask just sort of about your liquidity position, you know with the draw on the calendar term loan in the quarter and the sort of recent work you did on the refile a number of months ago, do you feel like you have adequate liquidity like everything you need kind of in place as your investment cycle kind of winds down over the course of this year and into next year or do you think that there's additional sort of steps to be taken on the balance sheet?
Hannes Meyer: Hi Matt. We've got sufficient liquidity if you look at that slide that we presented it's $2.2 billion of liquidity available at on the Cobre Panama capital spend, we're looking at a total of $800 million and just a little bit later $600 million for us as to go, so with concentration liquidity.
Matthew Fields: Okay and then as you - as Cobre Panama comes online and you're in a significantly higher mode of EBITDA generation, how do you think about your mix of secured and unsecured debt right now predominantly unsecured, do you think that there's a more of a place for arguably cheaper secured debt in your structure?
Hannes Meyer: And that we continue to evaluate that and probably is some place. I mean overall we've stated that we need to reduce now leverage, so we will be aiming to reduce our leverage ratio as a first target and then also reducing our absolute amount of date. So I think in future, we'll consider one of those options.
Matthew Fields: Is that I mean potentially one that the 21s are coming due or earlier as they're called or you made pay them down with cash or post a term in a mountain refinancing?
Clive Newall: As of that definitely have possibility, I mean it all depends on the quick ramp up of Cobre Panama and the metal prices. So that is a possibility.
Matthew Fields: Okay. Thanks very much and great work on the hedging program as well. Thanks.
Operator: Your next question comes from Lawson Winder with Bank of America Merrill Lynch. Lawson, your line is open.
Lawson Winder: Hi, good morning. Good afternoon, everyone. Thank you for taking the questions. Kansanshi for me so and Sentinel as well, just looking out to this the reduced power for I guess basically starting this week for up to 31 days. To get have a sense specifically of how much power you will be getting versus your full requirements?
Clive Newall: Yes. We have a sense of it. But look at it, it's only marginally below what we need to run pretty optimally. So it's not as we said in the MD&A it's not going to have a material impact on our guidance going forward and we're doing what we can do to make the most of the power available.
Lawson Winder: Okay. And then also if I might on Kansanshi, so the recoveries were quite good overall, I'm just curious maybe if you get a little bit of guidance on what you expect for recoveries in the H2. So what we had for Q2, is that's right as levels can be sustained over the next two quarters?
Clive Newall: Yeah. I think those recoveries have been steadily improving with work that will doing on treating store two, we hope we'll get see some small increases going forward as well.
Lawson Winder: And then with the store two, I mean I noticed the grades were a little lower at 0.9 versus 1.2 last quarter. I mean it 0.9 level that you would expect then going forward or should pick up?
Clive Newall: They're all there.
Lawson Winder: Okay.
Clive Newall: Precisely at this point but something like on that.
Lawson Winder: And then also just on the asset sales, those actually step there quite a bit in the quarter, $8 million versus $2 million last quarter, I noted that you were planning to build 6th asset storage facility, just curious that you exactly expecting those assets sales to continue ramping up or would $8 million a quarter be sort of a good run rate for now early for 2018?
Juliet Wall: Yes, about $30 million per year going forward for this year it will around be about $30 million hopefully.
Clive Newall: Okay. But that's kind of steady stage, you think.
Juliet Wall: Yeah.
Lawson Winder: Okay. And then just one final thing on Kansanshi and that will be it for me. You noted the gold plant had some processing constraints. I'm just curious maybe just elaborate a little bit on exactly what those were and what the resolution was that you noted in your MD&A? Thanks very much.
Juliet Wall: They've been looking at the different types of tables and the different type of purchase.
Clive Newall: Yeah. I think that just get all but just improving gold recovery, there was nothing wrong with the gold plant just we were always working to improve efficiency.
Juliet Wall: And optimize the process.
Lawson Winder: Okay. Fantastic. Thank you very much guys.
Operator: Your next question comes from Oscar Cabrera with CIBC. Please go ahead, your line is open.
Oscar Cabrera: Thank you. Good morning and afternoon or evening, everyone. Just looking at - are you coming on the covenant ratios. Can you remind me what facility you have this covenants on and is it like a step down that we used to have before, is it just like give times from totally finished Cobre Panama?
Clive Newall: Yeah Oscar, it is one of mine corporate facility and there is the five - covenant ratios at five for this quarter, I think it gets down to 4.75 for the next full quarters and into 4.5 and eventually to about 3.5 and about 2020 or something like that.
Oscar Cabrera: Okay. Thank you. Now with respect to the hedging, with that just having this escalating trade I think is creating a little bit of our concerns in the market with regards to copper prices. Would you looking at that is it as you concern with any part of the commissioning of ramp up in Cobre Panama mine and as such you put this in place?
Clive Newall: Oscar, we've done that particular insight just too upcoming events, so those were done before the trade walls as well. I think had we known all this, we probably would have done a bit more. That it was done around about, so if you look at the straight swaps, they were done at about 3.28 and the collars about 3.10, nearly 3.50. So it was done when the price was about close to 3.30. It's a relatively small amount, it's about a month's production a total, you looking at 30,000 on the collars, 30,000 tons and about 15,000 tons on the swaps. Look at just to maintain that protection on the copper price in the both phase at a modest level.
Oscar Cabrera: Okay. Now that's great. Thank you for that. In terms of the completion of the pre-strip and thank you for clarifying the advancement you had in the tailing and embankment. Do you have an estimate as to when you will be finished with pre-strip and the tailing and embankment and will you put at 70% now?
Juliet Wall: Zenon, do you want to do that?
Zenon Wozniak: Sure. We got targets for pre-strip by the end of quarter three and the end of the year and the pre-strip rate increase as we put the largest fleet on the ultra-class which is being phased in. So the pre-strip have a percentage and it's currently about 80% or 83% complete I think. And so we're on target that meet those targets by quarter three and end of the year, especially with the commissioning proceeding. In terms of the P&S embankments, P&S is basically a constant construction what they are building at the moment at embankments and the basis for that continue through operation. And for those who are on the site, you look at on particular sector that was under construction and eastern well is completely finished and complete and they're working on three sections in the open door and two other sections that complete. So actually it's a great sign and we're making reasonable progress. We get to the levels we need and what way that's looking out at the moment, it's [indiscernible] and the methodology of where exactly will be staple on the P&S and with deposits quarter-by-quarter. So we're pretty comfortable with the progress and the startup plan even it is to working on finishing on specific sections or areas because we have got as we feel 70% of the P&S is complete because large area they are ready maybe it could start the deposit currently if we needed to. So by the end of the year, we'll be in much better shape.
Oscar Cabrera: Thanks, Zenon. Are you concern all that you are going to start running to the rainy season at Panama as you finishing up the pre-strip?
Zenon Wozniak: I think it's the opportunity. We've actually had a very big starting year, if you looking at the first six months of this year statistically it's been easily 50% than previous year. So if you look statistically second half of the year, November is quite dry. So what I'm expecting that if you look at what you had so far, project in heavy rain and the second part of the year is normally much better than the first half of the year. So the opportunity is making very good progress is actually over the next three to four months in particular. And we had a peak on contraction. So we're in position to optimize over the next few months and carry out of the P&A, it should be, do much more in the next few months and then we will be able to make half of the year.
Oscar Cabrera: Okay. Thank you very much.
Operator: Your next question comes from Greg Barnes with TD Securities. Greg, your line is open.
Greg Barnes: Thank you. Zenon, I'm back to you again. You got 6 percentage points of project overall project completion in Q2 and sounds like you saying that's going to accelerate over the second half of the year. Can you give us some kind of sense where you think you be by the end of the year by overall in terms of overall project completion?
Zenon Wozniak: [indiscernible]
Greg Barnes: Such a clear than Zenon. You anticipate starting up the first three mills or into the mill. I think it was January was original target, is that what you're planning now is three mills on startup?
Zenon Wozniak: Yes, three mills on startup, yes.
Greg Barnes: Okay. Great. Thank you.
Operator: Your next question comes from Alex Hacking with Citi. Alex, your line is open.
Alexander Hacking: Yes. Good morning, everyone. I just want to follow-up on something on coverage time that's okay. On the site visit earlier this year, it seemed like one of the critical path items was importing a huge number of electrical contractors, could you maybe give us an update on how you stand on that item? Thank you.
Zenon Wozniak: [indiscernible].
Alexander Hacking: Thank you very much.
Operator: Your next question comes from Ian Rossouw with Barclays. Ian, you line is open.
Ian Rossouw: Thanks, guys. Just on the CapEx spending so far Cobre Panama looks like you've already spent about 66% of your guidance for the full-year. Does that imply you're spending will reduced or I mean it just seems that slightly given you're at peak construction period at the moment?
Zenon Wozniak: [indiscernible]
Ian Rossouw: Okay. Thanks. I mean how much of the - how much pre-commercial productions spending do you have and that's not included in the CapEx guidance?
Clive Newall: Hannes, do you have that at all?
Hannes Meyer: Yeah, I am trying to think what it was.
Juliet Wall: I mean I would guide about 70 to 100.
Ian Rossouw: For this year or for next year?
Juliet Wall: That's for this year.
Ian Rossouw: Okay. And then there will be I guess another in addition to that before you get to commercial production for next year?
Clive Newall: That's correct, yeah.
Juliet Wall: Yeah. That actually comes down next year.
Ian Rossouw: Okay. All right. Thanks. And just on the - second question, just on the asset sales at Kansanshi, I just wanted to get an idea of your thinking on that I mean I guess the plan originally to bowl while you build the smelter was to employ all this cheap and free asset to I guess treat all the high sort of gang consuming assets - sorry asset consuming orders. And I'm just surprised that you're actually selling asset now, is it to just there is stockpiles that run out or was it just trying to get around that?
Clive Newall: I think that the Kansanshi operation is in a steady transition from sort of half and half so far outside to predominantly so far. And so the asset conception is declining, while fixed productions maintain continue at the same level.
Ian Rossouw: But weren't you planning to reclassify some of those mix into walk side just given that the cost of asset was going to be a lot cheaper, is just…?
Clive Newall: We are continuing to do that.
Ian Rossouw: Okay. All right. And you still generating more asset than you need?
Clive Newall: Yeah.
Ian Rossouw: Okay. All right. Thank you.
Operator: Our next question comes from John Tumazos with John Tumazos Very Independent Research. John, your line is open.
John Tumazos: Thank you very much for taking my question. After Cobre is fully commissioned and met technical standards et cetera, how long of a period do you expect will pass before first Quantum on Haquira or Taca Taca or some new project. Do you think could be a period of one or two or three years to rebuild the balance sheet and everything down or some of the other projects getting closer to being ready?
Clive Newall: Well, as Hannes said, will be a period of deleveraging both from our net debt and gross debt. But we are a growth company and we are a biggest shareholders follow us for that growth. And I think that so we will - we are looking at particularly Taca Taca most likely because it's most straightforward project and we continuing to move that forward. And that will happen over the next two or three years. But we haven't set a fixed timetable yet.
John Tumazos: Thank you very much.
Operator: Your next question comes from Anita Soni with Credit Suisse. Anita, your line is open.
Anita Soni: Good morning, gentlemen. My question is just regards to tailings changing or addition in scope, is there any sort of a ballpark figure on how much of point to I don't want to impact but impact the overall CapEx budget?
Zenon Wozniak: [Indiscernible].
Anita Soni: All right. That's all I have. Thank you.
Operator: Your next question comes from Orest Wowkodaw with Scotiabank. Orest, your line is open.
Orest Wowkodaw: Hi, good morning. Just curious about Kansanshi, I mean you've had pretty strong production in the first half of the year, you're tracking above the annual guidance on a run rate basis. Are you anticipating the grades are going to fall in the second half a year or is there potential to maybe do better than the guidance?
Clive Newall: No, I think we're always a little conservative with our guidance, so we always hope we can do better than the guidance. But - so it's other than the maintenance shutdowns we talked about, we're expecting steady state.
Orest Wowkodaw: Okay. Thank you so much.
Operator: Your next question comes from Karl Blunden with Goldman Sachs. Karl, your line is open.
Karl Blunden: Hi, good afternoon, guys. Thanks for the time. Just a bigger picture question. A lot of mining companies say that copper assets are very short supply right now. I don't see a comment on the types of conversations you've had historically with majors potentially folks who like your assets, has anything changed in the current environment where it feels like there's not a lot of development assets and anything you can share there on kind of M&A landscape would be very helpful?
Clive Newall: No, look we don't comment on things like that on conference calls. Obviously we've got a portfolio of very nice operations in effect. So I'm sure there is some interest out there but that's inevitable and - but we can't comment on that specifically.
Karl Blunden: Understood. And then just on the ZRA inquiry, it looks like you've made steady progress according to the timeline you'd initially outlined. As we think about next steps, are there milestones or key dates we should keep in mind as we think about the risk associated with that investigation?
Clive Newall: Karl, I think that will just take some time to and it is hopeful a lot of documents are lot of say 290,000 documents, I think it take time to work through some of those documents and we'll get to some resolution. So I don't think you could have exact timetable that you can pin this to but it will get resolved and now position remains unchanged from what we've had before.
Karl Blunden: Thanks for the time. Appreciate it.
Operator: We have reached the end of our question-and-answer session. I will now turn the call back over to Mr. Newall for closing remarks.
Clive Newall: Well, thank you everybody for your call today and your participation. If there's any follow-up questions, please call myself or Sharon Loung and we'll do our best to get back to you. So look forward to talking to you all again in the next quarter. Thanks. Good bye.
Operator: This concludes today's conference call. You may now disconnect.